Operator: I would now like to turn the conference over to Jason Verhaest from Investor Relations. Please go ahead, Mr. Verhaest.
Jason Verhaest: Thanks, Joanna, and welcome everyone to our fourth quarter and year-end 2024 conference call. The call is being webcast and the slides are available on our website at ovintiv.com. Please take note of the advisory regarding forward-looking statements at the beginning of our slides in the disclosure documents filed on EDGAR and SEDAR plus. Following prepared remarks, we will be available to take your questions. I'll now turn the call over to our President and CEO, Brendan McCracken. Thanks, Jason. Good morning, everybody, and thank you for joining us.
Brendan McCracken: We are very pleased with our 2024 results, and we are very excited about 2025 and our future. Over the past several years, we have executed on our durable return strategy and we begin this year with one of the most valuable premium inventory positions in our industry. We combine that with our team's culture and expertise to convert resources to free cash very efficiently. We've built this position in a very shareholder-friendly way that sets us up to generate exceptional return on capital for a long time to come. We now have a more focused, more profitable portfolio with anchor positions in the Permian and Montney, the two largest remaining undeveloped oil resources in North America. These assets are complemented by our low-cost, low-decline, high free cash generating asset in the Anadarko Basin. Our work to build inventory depth over the past several years means we now have close to fifteen years of premium inventory in the Permian, close to twenty years of premium oil inventory in the Montney, and over a decade in the Anadarko. We are also seeing the benefits of our efficiency gains show up in our capital and cash cost. We're delivering oil type curves on a barrel per foot basis that are as good or better year over year in each of the three assets. Those efficiency gains are how we are holding our 2025 guidance at two hundred and five thousand barrels a day, completely making up the gap from selling twenty-nine thousand barrels a day in the Uinta and buying twenty-five thousand barrels a day in the Montney. We believe our ability to continue to generate superior returns will be differentiating. With this inventory and our demonstrated execution excellence, we're set to generate over $2 billion of free cash flow this year, and we are confident we can continue to do this durably for years to come. Our 2024 results show another year of execution excellence and delivery against our strategy.
Jason Verhaest: In short, we delivered tremendous profitability
Brendan McCracken: enhanced our capital efficiency, bolstered our financial strength, and high-graded our portfolio. These results demonstrate that our strategy is working, and our execution excellence is translating into increased value for our shareholders. We beat and reset our targets three times over the course of the year, enabling us to produce more of our products without investing more capital. Our initial guidance for 2024 had us delivering two hundred and five thousand barrels a day of oil and condensate for $2.3 billion. We came in right at the capital guide, but it came with an additional six thousand barrels a day of oil and twenty-five thousand Mboe per day of total production. Our full-year cash flow was $4 billion. We generated free cash flow of approximately $1.7 billion, up fifty percent year over year, of which more than $900 million was returned directly to our shareholders. We continue to lead the industry by delivering efficiency gains in each of our assets. Completion design innovations, record-setting execution performance, leading productivity per lateral foot, and base decline management are a few of the areas contributing to our exceptional return on invested capital. Acquisition in the core of the Alberta Montney, the divestiture of our Uinta assets. Both deals have since closed. In addition to adding nine hundred high-quality Montney drilling locations, these transactions significantly enhance our capital efficiency and free cash generation, allowing us to pay down debt faster and increase returns to shareholders. Importantly, we also continue to make progress on debt reduction during the year, ending the year with $5.4 billion of net debt, a decrease of more than $320 million. Our strong execution in 2024 has set us up for success in 2025. Our strong operational performance during the fourth quarter delivered oil and condensate volumes averaging approximately two hundred and ten thousand barrels per day, beating the high end of our guides. The production beat was driven by the Permian and the Montney, where we continue to see strong well results and outperformance from our base volumes. In did commence slightly below the low end of our guidance range on natural gas and NGLs due to a value-based decision to reject ethane in the Anadarko, some temporary winter weather impacts in the month.
Jason Verhaest: Our fourth quarter capital investment was approximately five
Brendan McCracken: two million dollars in line with the midpoint of our guidance range. Also meet or beat pre-unit cost guidance on every item, continuing to build on our track record as an industry-leading operator. Our fourth quarter cash flow per share at $3.86 beat consensus estimates by about seven percent, and our free cash flow totaled more than $450 million. All in all, another strong quarter both operationally and financially, which allowed us to enter 2025 with significant momentum. Now turn the call over to Corey to discuss our 2025 plan in more detail. Thanks, Brendan. In 2025, we will continue to focus on maximizing the returns on our invested capital to increase our free cash flow, our shareholder returns, and further reduce our debt. This means we are leveraging our multi-basin portfolio and focusing one hundred percent of our investment in our most oil and condensate-rich areas. Each of these three areas is expected to generate program-level after-tax returns of approximately sixty-five percent to seventy-five percent. Although the value drivers for each asset are different, they all compete for capital within our portfolio. We expect to generate about $2.1 billion of free cash flow in 2025, assuming commodity prices of seventy dollars WTI and four dollar NYMEX gas. This represents an increase of more than $300 million year over year and a near doubling of free cash flow from 2023. Our 2025 free cash flow yield of approximately eighteen percent and a cash return yield of ten percent are very competitive in today's market across both industry peers and the broader economy. As a reminder, we expect to restart our share buyback program in the second quarter with first-quarter free cash flow. Our enhanced capital efficiency will allow us to optimize our capital structure at a faster pace, decreasing our debt and reducing interest expense. By year-end, we expect our total debt to be well below $5 billion, making significant progress towards our $4 billion total debt target. Even though we're investing in the most oil-rich parts of our acreage, our production profile is about fifty
Jason Verhaest: gas. And as a result, we have significant torque to higher gas prices.
Brendan McCracken: Very intentional in moving our price exposure away from weaker pricing hubs like AECO and Waha to diversify downstream markets in the US and Canada. We have done that both physically by acquiring firm transportation out of the basin and financially with basis hedges. In 2025, about three-quarters of our natural gas will price outside of AECO and Waha. This means we stand to benefit significantly from higher gas prices, even if AECO and Waha prices remain weak. This year, for every fifty-cent move in Henry Hub gas prices, we expect to generate $25 million more free cash flow. As a reminder, our price exposure gets even better in the fourth quarter with the commencement of our service on the Matterhorn pipeline in the Permian for fifty million cubic feet per day. Access to premium resources is an essential component to generating durable returns. We recognize this early and have done a lot of work over the last few years to identify opportunities to extend our inventory runway through organic appraisal and assessment efforts, bolt-ons, and acquisitions. As Brendan highlighted earlier, we've built an enviable premium inventory position across our portfolio. As a result, we can execute our business plan and generate superior returns for our shareholders for a long time to come. We remain very pleased with the value accretion we've realized from our Permian acquisition in 2023, and we expect the same from our recent Montney acquisition. At roughly one million dollars per well location, our Montney deal will deliver strong returns and compares favorably with many of the recent deals we've seen in the broader North American market. We've been very intentional in building a high-quality portfolio with deep inventory in each asset and in each product, and we have demonstrated that we are disciplined stewards of our shareholders' capital. I'll now turn the call over to Greg, who'll speak to our 2025 guidance and operational highlights.
Jason Verhaest: Thanks, Corey. Maximizing capital efficiency and free cash flow remains a primary focus
Greg Givens: for our teams in 2025. As Corey mentioned, we are focusing one hundred percent of our investment on oil and condensate. But we also have significant free cash flow upside to stronger gas prices. About eighty-five percent of our capital will be focused on our two anchor assets, the Permian and the Montney, supported by free cash flow from the Anadarko. Our 2025 program will deliver two hundred and five thousand barrels of oil in condensate per day and total production volumes of five hundred and ninety-five to six hundred and fifteen thousand BOE per day. About $2.2 billion of capital investment. Our full-year total production will be slightly lower than if both Montney and Uinta transactions had closed on January first. Additionally, we've elected to reject ethane in the Anadarko for the majority of the year, and we now expect higher Canadian royalties. These items will also modestly affect our volumes. The decision to reject ethane supports our realizations, and the higher royalties are due to higher gas prices. So the net result is free cash flow accretive. Expect our first-quarter production to average approximately five hundred including about two hundred and two thousand barrels per day of oil and condensate. The production impact from the Montney and Uinta transaction close timing is roughly three thousand barrels per day during the quarter. Oil and condensate production will stabilize in the second quarter and remain flat through the end of the year. Our capital spend will be highest in the first quarter largely due to transaction close timing impacts, higher completions activity in the Permian, and temporary drilling activity in the Montney that we inherited from the seller.
Brendan McCracken: In
Greg Givens: Importantly, the capital efficiency of our 2025 development program is repeatable in 2026 and beyond, allowing us to sustain approximately two hundred and five thousand barrels per day of oil and condensate production with capital investment of about $2.2 billion. In the Permian, capital efficiency and free cash generation remain the top priorities for our program as we work to drive efficiency in every aspect of our operation. Ovintiv Inc. is consistently one of the highest productivity, lowest cost operators in the basin. We recently received third-party recognition of our basin leadership from JPMorgan by being awarded the 2024 order of merit for Midland Basin performance. Our 2024 drilling speed averaged more than two thousand feet per day, was roughly eighteen percent faster than the 2023 program average. On completions, our full-year average completed feet per day was about three thousand eight hundred and fifty, was twenty percent faster than our 2023 program average. These cycle time improvements result in lower well cost. Our PACEetter D and C cost is among the best in at less than six hundred dollars per foot. The one hundred and forty-five gross wells we brought online in 2024 continue to paint the type curve. This type curve was unchanged across 2024. And it remains unchanged in 2025. This year, we started with five rigs and will drop to four at the end of the first quarter. Bring on one hundred and thirty to one hundred and forty net wells, and hold oil and condensate production at roughly one hundred and twenty thousand barrels per day on average for the year. Our D and C cost is expected to average six hundred and six hundred and fifty dollars per foot. And is about twenty-five dollars per foot lower than last year. Our Permian team expects to deliver consistent year-over-year well performance from a similar number of turn-in lines for less capital. Moving north to the Montney. We are very excited to have the new Paramount assets in our portfolio, and we are working to integrate them into our business as safely and efficiently as possible. So far, the wells are performing very well as expected and we are looking forward to delivering our first Ovintiv Inc. end-to-end design wells later in the year.
Jason Verhaest: As a reminder, we plan to deliver well cost
Greg Givens: savings of more than $1.5 million per well across the acquired assets by applying our industry-leading data-driven approach to drilling completion and production operations. This approach continued to yield positive results in 2024 as we saw steady improvements in our daily average drilling and completion speed. The Montney has the lowest well cost in the portfolio. And in 2025, we expect our D and C cost to average $525 per foot. This is about twenty-five dollars per foot less than our 2024 wall cost. Our 2025 three to four rig program of seventy-five to eighty-five net turn-in lines will see roughly a third of our activity in the newly acquired acreage with the remaining activity split between our legacy Pipestone and Cut Bank Ridge areas. The primary driver of value in the Montney is condensate production. And since there is a structural long-term deficit in the Western Canadian market, it should continue to trade tightly to WTI for the foreseeable future. In 2024, the average price realization for our Montney condensate was ninety-five percent of WTI.
Jason Verhaest: In 2025, with the addition of the new
Greg Givens: assets, we expect to produce about seventy percent more condensate or about fifty-five thousand barrels per day in total for only forty percent more capital. This makes us the second largest condensate producer in the play. As Corey mentioned, we are receiving much higher prices for our Montney Gas than the AECO benchmark would imply. In 2024, our average Montney Gas price realization was one hundred and sixty-four percent of AECO, or seventy-six percent of the NYMEX benchmark. The underlying gas supply and demand fundamentals in Western Canada should continue to improve this year. LNG Canada comes online. Moving to the Anadarko, we continue to benefit from the strong free cash flow generation from the asset. In part due to its exceptionally low base decline rate, at about sixteen percent per year. This asset is unique in providing a stable, well-priced stream of production with low operating cost and a minimal stay-flat capital requirement. In 2024, the team continued to make significant progress in lowering well costs. By focusing on drilling speed, maximizing lateral length, minimizing casing strings, and maximizing the number of wells per pad. They've taken nearly one hundred dollars per foot out of our average D and C cost. And are set to deliver an average of about $550 per foot in 2025. A reduction of a hundred dollars per foot year over year. Our efforts in the play have not gone unnoticed as our Anadarko asset also recently received the 2024 order of merit from JPMorgan. We plan to run an average of one point five rigs in the play this year, delivering twenty-five to thirty-five wells. This will essentially hold our oil and condensate volumes at around thirty thousand barrels per day on average for the year. I'll now turn the call back to Brendan.
Brendan McCracken: Thanks, Greg. In closing, we continue to deliver outstanding results. We're focused on maximizing the profitability of our business generating significant free cash, generating and maintaining our strong balance sheet. Our focus on building premium inventory depth, execution excellence, disciplined capital allocation, and driving profitability have positioned our business to thrive on the road ahead. This concludes our prepared remarks. Operator, we're now ready to open the line for questions.
Operator: Thank you. Ladies and gentlemen, the first question comes from Gabe Daoud at TD Cowen. Please go ahead.
Gabe Daoud: Thanks. Hey. Morning, everyone. Thanks for taking my questions. Brendan, I was hoping we can maybe first start with Montney versus Permian. You know, you highlighted pretty attractive returns across the entire portfolio. But from an A and D standpoint, given where acreage and location values are rising
Brendan McCracken: to in the Midland, would you say, you know, maybe your bias from here would be to add more in the Montney versus Permian if there was any to add some more inventory?
Gabe Daoud: Yeah. Hey. Good morning, Gabe. Thanks for the questions. You know, I I guess what I'd say at a high level before maybe maybe making a comment on the relative market in the two assets for acquisitions. What I'd say on a high level is it it feels really hard to beat what we've done so far. This has been a multiyear effort to assemble the portfolio and and and really I feel like what we're representing today is a new level of of portfolio and inventory depth and quality for our investors that and we we have a ton of confidence in that portfolio being able to generate free cash flow that we pointed to for 2025 for a long time to come. And so It feels really difficult. I guess you'd call it a high bar to beat that. Today. And so in general, our view is know, anything we would do would be coming from a position of strength and and we're excited about what we've done over the last several years. In terms of the relative I mean, you've hit it. There's just a massive arbitrage between the two, and know, at the same time as we were able to do our transaction for for right around a million dollars in undeveloped location, we've seen prints in the Permian for for well north of that. So we we think that's value to our shareholders that we're uniquely positioned to be able to access and and create for them.
Gabe Daoud: Thanks, Brandon. That's really helpful. Thanks for that color. And then guess this is a follow-up. You know, you mentioned on the slide the Permian and Montney oil powerhouse. So I guess a good good question then off the back of that would just be how does Anadarko fit into the portfolio longer term? Any any any updated thoughts, sir?
Brendan McCracken: Yeah. And, you know, absolutely. If you look at where know, eighty-five, ninety percent of our capital is going into the Permian and the Montney, so that's that is a big part of how we're running the business and prosecuting the strategy. And, you know, we've put ourselves in a place here. We've got you know, close to fifteen years of premium oil inventory in the Permian. Closer to twenty of oil inventory in the Montney, and then over a decade in the the The role that the Anadarko is filling for us. It it's a really valuable asset. And what's really unique about it, and we've highlighted it a couple times, but perhaps even underappreciated is the low decline nature of that play. And what that does is it supercharges the free cash that it's generating. So at a, you know, sixteen percent base decline, That means we don't have to spend very much capital in there to level that asset out around the thirty thousand barrel a day mark this year. It it'll start a little loader lower in q one and then build to that thirty. But we're really excited about the role that the Anadarko is playing. I would also highlight That's a spot where our type curves are up year over year. And the team's done a great job of getting well cost down and and type curves up. Which boosts returns. And so whether we're running a rig in the Anadarko or a rig in the Permian or the Montney, either delivering the same financial outcome for the business, which is which is very important from a capital allocation perspective.
Gabe Daoud: Yeah. No. For sure. It's great to see you. Awesome. Thanks, Brandon.
Brendan McCracken: Thanks, Keith.
Operator: Thank you. The next question comes from Doug Leggate at Wolf Research. Go ahead.
Doug Leggate: Hi. It's Phil. I'm a CEMA and Trust partner for Delta. Like I
Brendan McCracken: morning the this particular time. My my first question would be regarding your net debt target. You have a long-term target of $4 billion. Yeah. It's reduced by $323 million for the passport. I guess, what do you kinda project being your net debt target by end of 2025. Can give me give me any color on that and how you get to that number.
Brendan McCracken: Yeah. Absolutely. So I what we've gotten the materials is we're gonna get it well well underneath the $5 billion mark by the end of this year if if you look at prices on the screen today, you know, it'd be in that $4.6, $4.7 range by the end of the year, which we're really excited about because that if it's just within spitting distance to get into that 2020 or getting to that $4 billion target in 2026. So really excited about the trajectory that they were on there, and we've pointed in the materials as well. We'll be resuming buybacks the second quarter here. Following the pause off the back of the the acquisition in the Montney and and really excited that we've been able to to kind of reduce that incremental debt that we took on with the acquisition very quickly. And get back into the buyback market because know, we're excited about buying shares at this level.
Doug Leggate: Thank you.
Brendan McCracken: Thank you.
Operator: Thank you. The next question comes from Arun Jayaram at JPMorgan. Please go ahead.
Arun Jayaram: Yeah. Good morning. Brendan, you provided an updated inventory analysis across three of your core basins, which points to
Brendan McCracken: you know, well into double digits in terms of inventory depth on the oil side and and beyond that on the gas side.
Arun Jayaram: Brenda, what do you think this
Brendan McCracken: does for you from a strategic standpoint just having, you know, that durable inventory position as we think about you know, future
Arun Jayaram: you know, a and d,
Brendan McCracken: and just other, you know, opportunities as we look forward, obviously, you highlighted maybe $2 billion of of free cash flow, a little bit over that at at at strip.
Arun Jayaram: And, you know,
Brendan McCracken: may maybe the potential for that to to continue you know, over time.
Arun Jayaram: Yeah, Arun. Love the question. I think you know, really puts us into a new category here and and that's what we're trying to impress is the confidence that on behalf of our shareholders, we've built that inventory position. And it and it gives us the confidence in that free cash generation and the durability of it. Which is is the important point that you're you're flagging You know, in addition to the inventory depth and quality, which which we think is know, really enviable, We're also seeing lower capital in the business and lower cash costs, which means higher profitability, and higher free cash that's coming with that. So it's really a combined effect of providing our shareholders the confidence in that inventory to be able to generate these returns durably and then just continuing to use our efficiency gains both on the capital and the cash cost side to just drive free cash flow over time And then like I say, we're getting a great cash flow per share boost with the buybacks.
Jason Verhaest: And and the and the value were and the
Brendan McCracken: shifting to the equity holder by reducing debt. So it's it's really kind of an all of the above attack. And, you know, you also you you I think you hinted that or asked in your question there how that frames it up in terms of a and d thoughts. And I would just say that this makes an already high bar even higher. Given what we've been able to do with the portfolio.
Arun Jayaram: Great to hear.
Brendan McCracken: Maybe my follow-up, you know, if there's one incoming question we've gotten just on the, you know, the the regulatory macro picture,
Arun Jayaram: is just maybe the impact of potential
Brendan McCracken: you know, Trump tariffs on on Canada You know, I was wondering if you've you've done some some analysis on that in
Arun Jayaram: just provide some just just some general thoughts because I know it's a pretty complicated you know, question. Just given where we don't have a a ton of details here. But I was wondering, Brendan, and Corey, if you could maybe help us frame the potential impact.
Brendan McCracken: Yeah. Absolutely. You know, look,
Jason Verhaest: the stream we give you at this point
Brendan McCracken: we anticipate a pretty modest impact to our business. And let me kinda dig in, describe it a little bit more. You know, as as you flagged, there's still a fair bit of uncertainty about timing know, is there gonna be any exceptions? What are the magnitude of the impacts and how are they gonna be expressed in the market And so what we've done is as you might expect, sort of a ranging type scenario from from sort of a more moderate tariff scenario to a more extreme tariff scenario. And even in the more extreme pictures that we can paint, there's a very modest impact to our cash flow in twenty-five Maybe I'll just flag because it might be helpful for folks understand the different places that we would see tariffs potentially impacting our business, You know, we'd we'd expect to see something in the supply chain. We already have the steel and aluminum tariffs in place, so that largely shows up as an OCTG impact. And remember, here, we source all of our OCTG domestically in the US, but there could be some bleed through to domestic prices because of the the tariffs on international imports. So we've been proactive in purchasing and pricing a significant part of that 2025 supply chain already. But we we don't anticipate that to be a severe effect. On the gas side, of course, we export gas into Chicago and into the US West Coast. And so there could be impacts there. Which also could see some bleed through into the AECO and the Dawn markets Again, all of this conditional on are there reciprocal tariffs for the gas that Canada imports? You know, there there is a range. And then, of course, all of our condensate, we sell that domestically within Canada. And then finally, the the sort of counterbalance point is around foreign exchange, and the I would say the consensus view is that tariffs on Canadian imports into the US would strengthen the US dollar relative to the Canadian dollar. And for our business, a lower Canadian dollar is favorable for free cash generation. So you you come kinda put all those different categories together and and there are net net scenarios suggest pretty neutral. In terms of an impact to our 2025 cash flows. Even in that more extreme tariff scenario picture that we can paint today. So watching it closely, clearly, there's a lot of dynamics, but don't anticipate it being as significant impact to twenty-five cash flows.
Arun Jayaram: Thanks, Brenda. Yep. Thanks, Rene. Thank you. The next question
Operator: comes from Neal Dingmann at Truist Securities. Please go ahead. Well, again, thanks for the time.
Neal Dingmann: My question maybe maybe for you and Greg, just, you know, again, the op efficiencies are notable. I'm just wondering when you look at your guide and expectations for this year, I'm just wondering, what what do you all we sort of service cost more versus continued operational efficiencies. It looks like you might have a benefit of both, but I'm just wondering how how Greg or yourself are sort of viewing that for at least the remainder of this year.
Brendan McCracken: Yeah. Hey, Neil. Absolutely. So I'm gonna kick it to Greg. High level, We've got about a low single-digit deflation built into the 2025 program and but the bulk of the gains are are true efficiency gains. But I'll I'll kick it to Greg to maybe just highlight a few of the really key ones.
Jason Verhaest: Yeah. Thanks for the question, Neil. I mean, I'm just continue to be impressed with our
Greg Givens: teams and what they're able to accomplish. 2024 was the fastest year we've ever had in drilling and completion both in the Permian and in Canada. Maybe just a couple of stats. I mean, thirty of the thirty-five fastest wells we've ever drilled in the Permian were drilled in 2024. So the team just continues to get significantly better. And that's what's allowed us to continue to drop drop rate count. You know, we're constantly trying to match up the right number of rigs with the right number of frac crews to be as efficient as possible and take white space off the calendar. Last year, we had six rigs running in the Permian, ended up dropping to five. Late in the year. And then as I mentioned in my prepared remarks, we'll be dropping to four rigs here at the end of the first quarter. And all that's really just trying to sync up the right amount of rig and frac activity Something that's really impressive, if you were to take the four rigs that we're planning on running for the majority of this year and pair that with one tribal frac crew, we could do a hundred and ten to a hundred and twenty wells with that setup. So almost our full program with what we think today could be accomplished with four rigs and one tribal frac crew. With the efficiencies we continue to see wouldn't be surprised if that becomes the norm for us going forward. So just continue to be really proud of the teams and how fast they're going. But of course, then we believe strongly in level loaded programs and a balanced schedule. So as we get these efficiencies that bring more activity into the year, well then some of those savings will be reallocated towards the end of the year to continue that level of the program. But just continue to see great performance and we think we're gonna see even more here in twenty-five.
Neal Dingmann: Thank you, Jasmine. Just one last piece. You guys have been busy on the M and A obviously with the bot. You know, I'm just wondering, Brandon, when you see sort of M and A put in now and your Permian puts in, is there still a fair amount of white space that you can fill in just like an uncoloured deal? Thank you.
Brendan McCracken: Yeah. Hey, Neil. You're a little muffled there, but I think your question was just on, you know, are we gonna continue to try and fill in some white space in the Permian and the Montney on the map? And, you know, I I just sort of yeah. Okay. Yeah. I I heard that right. Good. Yeah. I think the the Answer there is kinda similar to to what I described before. It's we we're taking a high bar and raising it even higher in terms of allocating capital towards acquisitions given the success we've had over the last several years and given the inventory depth and quality that that we've created. So think you know, teams are gonna be continue to do a lot of work on swaps and coring up so that we can drill longer laterals the footprint that we already got. I I would expect that to continue out of pace and but you know, pretty disciplined around how we're thinking about go forward bolt ons and and acquisitions.
Jason Verhaest: Thanks. Thank you.
Brendan McCracken: Yeah. Great. Thanks, Neil.
Operator: Thank you. The next question comes from Kelly Ackerman at Bank of America. Please go ahead.
Kelly Ackerman: Hey. Good morning, guys. Maybe this question is for Corey. So we appreciate the free cash flow yield sensitivity At eighteen percent, there's Kind of a
Neal Dingmann: delta versus the street. As you guys were putting that analysis together, where did you find street numbers to be insufficient?
Brendan McCracken: Yeah. I'll I'll put that over to Corey Clay. Thanks. Yeah. I mean, we did take a little bit more time to highlight the the leverage to natural gas, and I think people back even over the last year or two, we've talked a lot about our oil portfolio. So just reminding people of the significant natural gas exposure that we have. But what you've heard through the call and if you look at some of the actual results, we've had good not just capital efficiency, but all of our various elements of cost, I think, have outperformed. So it's bit of a combination depending on which analyst you look at, whether it's realized price or on the cost side. But I I guess the short answer is probably multiple factors contributing to that. Outperformance on free cash flow. And I did think it would I would just add Kaleid, sorry, Clay. This is Brandon again. I would just add you know, overnight with the disclosure that we put out, the team did have some some good conversations with a few of the analysts where there were some models that just had some some bust in them, and we're able to get those cleaned up and match the the free cash projections that that we've put out there
Kelly Ackerman: Sounds good.
Neal Dingmann: Kinda shifting over to the Montney here. Looking at your GP and T expenses, it's higher than peers In basin Can you kinda remind us why it's different Is it related to ownership at GMP assets? And if so, would you ever consider bringing that fixed cost in house
Brendan McCracken: Yeah. Hey, Clay. Yep. The the you've hit on it exactly. There's a Generally speaking, in the Monti, a a mixed bag of ownership of midstream and non-ownership of midstream and just the way our Midstream has been built out over the decades. It is largely third-party owned. Our Realizations on the cost side reflect that. And, you know, as far as looking at bringing things in-house, I I think know, we're always looking at every opportunity we can to enhance profitability, but we'd have to weigh that against the the cost, of course, of of that acquisition.
Kelly Ackerman: Got it. Thanks, Brendan.
Brendan McCracken: Yeah. You bet.
Operator: Thank you. The next question comes from Greta Dreyfky at Goldman Sachs. Please go ahead. Good morning, and thank you for taking my question. Thinking about risk management through volatility, would you characterize this as a sufficient proportion of your production is covered with your current hedge book? Are you seeking to further reduce on hedge exposure either in your oil or gas portfolio from here? Thank you.
Brendan McCracken: Hey, Greg. Good morning, Greg. Absolutely. We've been running about a twenty-five percent head book, and using largely three ways to put that risk management in place so that we can retain as much was your while while creating a floor. And really how we about it is we wanna be able to withstand a long period, call it twelve months of of pretty low commodity prices, call it sort of the forty dollars on TI and two dollars on NYMEX. And that that's been the strategy we've been following while we've been delevering. And what we've signaled all the way along, and this continues to be the case, is that as we could get that that down. The need to have that hedge book can can shrink even further. So I do think as we look out into twenty-six, We'll continue to be following that that hedge strategy, but then thereafter, we can continue to look to to drag that down as we get the leverage back into the target range.
Operator: Great. Thank you. And then also for my second question, the results from Travel have been very compelling in 2024. The 2025 outlook for about seventy-five percent of permanent operations utilizing TrimbleFAC. Do you see much upside to that estimate in 2025 or 2026, or would you consider seventy-five percent closer to the optimal proportion of operations?
Brendan McCracken: Yeah. I think we'll continue to see it inch up with time. That's been the the sort of track record so far for the team, and don't know, Greg, if you'd have any other Comments there? Yeah. I think over time, that'll continue to come up. The only thing
Greg Givens: keeping us from doing all of our wells with tribal frackers, physical location, physical limitations on the ground. We have situations where you don't have six wells on a pad or you have six wells that are, you know, separated by a road or or or some other physical thing that prevents you from fracking all six of those at the same time. But we'll continue to inch that up. We'll continue to be very happy with the results we're getting from trommel fracs That's what's allowing us to think complete more fee per day than anybody in industry out there. And so we'll continue to work on that.
Operator: Great. Thank you.
Kelly Ackerman: Thanks, Credit.
Jason Verhaest: Thank you. The next question comes from Kevin McCurdy at Pickering Energy
Operator: Partners. Please go ahead.
Kevin McCurdy: Hey. Good morning, and thank you for taking my question. Questions. My two questions are gonna focus on a little bit on gas. I appreciate the details on the free cash flow sensitivity to gas prices on slide eight. And, you know, we would agree that you have one of the higher sensitivities among oilier companies. But I wanted to ask about the operational sensitivities. Is there a price at which you shift capital to the gas your assets or increase overall company activity? Yeah, Kevin. Great. Great question. It's actually a really interesting one. And, you know, the The one point that we we've tried to to flag for folks, but I think it's meaningful is you know, when you drill a gas well, you get a whole bunch of or when you drill a oil well, you get a whole bunch of with it. And when you drill a gas well, you get zero oil with it. And so it actually is an asymmetrical capital allocation choice from a value perspective. So what what we really like, given where prices and the fundamentals are today, is We like being in maintenance mode. We continue to believe the right allocation of excess free cash flow is to the buybacks and not to growth. And that's because we're getting a better cash flow per share outcome from buying those shares back, then we could get by investing that for growth in in the business. And so that that's sort of first off And then when you look at the decision between gas and oil, We really like the allocation to to drilling oil wells. And then the associated gas upside come comes along with it. As opposed to saying, oh, no. We're gonna allocate directly to dry gas. So obviously, there can be a breaking point depending on the fundamentals. But but with today's prices, we continue to favor allocating our capital to oil and and getting the gas as an associated upside.
Jason Verhaest: Appreciate that response.
Kevin McCurdy: And for a follow-up, you've done a a really good job with the first finding your AECO exposure, but do you have any view on how that market develops hopefully as
Neal Dingmann: more demand comes online locally?
Jason Verhaest: Yeah. I think our views
Brendan McCracken: been pretty consistent there, which is, you know, we're gonna see some benefit from the additional little over two BCF a day of offtake. Off the West Coast. And and, you know, there's been some color already this quarter from some of the operators and some of the participant companies on timeline there, which which is, you know, coming up this summer for for for the first loads, which is exciting. But our view has been that's gonna be probably relatively transient. As opposed to a a structural reset of AECO pricing. And so our strategy has been to continue to diversify gas away from the Eko Basin, and and I think that'll kinda continue We inherited, you know, a couple hundred million a day of addition additional AECO exposure with the Montney acquisition. So that's likely to be something you'll see us chip away at between exploring LNG options for that gas, exploring getting more gas into the the markets we're already serving, the West Coast and Chicago. But also some of this data center demand optionality that's showing up where there's know, we've been in a lot of conversations with a lot of interested counterparties there, which is which is really exciting and we think we're in a differentiated place in Western Canada to be a gas provider of choice. For some of those projects, whether it's data center or petchem. Because of our investment-grade status and because of our deep gas resource in the basin, which can give a counterparty a lot of confidence both financially and subsurface in the resource.
Jason Verhaest: Oh, very interesting. Thank you.
Kelly Ackerman: Yeah.
Operator: You, Kevin. Thank you. The next question comes from Dennis Fong at CIBC World Markets. Please go ahead.
Dennis Fong: Hi. Good morning, and thanks for taking my questions. Maybe the first one is to carry along with that, the last kind of train of thought there. You kinda mentioned some opportunities
Doug Leggate: to, I guess,
Dennis Fong: don't want to necessarily lock in a longer term or longer duration contractor or pricing,
Brendan McCracken: But can you describe I know, historically, there's been a few characteristics
Dennis Fong: of these types of whether it be LNG contract or whatnot. That you've you've wanted to ensure if that was an attractive option for selling a gap. Can you remind us as to
Brendan McCracken: what you'd be looking for in that type of a situation? Yeah, Dennis. I think the first thing to start with is interested in having a portfolio of diversification here. We like the idea of not putting all the eggs in one basket, so to speak. And and you can see that already that we've made with with getting to diverse downstream markets today And so I think going forward with you should expect from us is is a portfolio and our vision is for that portfolio to have a mix of LNG and a mix of of local incremental demand, whether it's, like I said, data centers or pet chem. Opportunities. And so I think, you know, we'll see how those deals come together. But what we really like about that portfolio is it not only provides the upside for our realizations, but helps us manage risk. And and one of the things that's know, really kind of been a focus point for us is to not wind up signing up for a long-term transportation and processing contract that's that's fixed. Into an uncertain market. And so that that's been the focus of our commercial team is to to make sure we find ways to manage that diversification risk and and not wind up with a long-term service agreement that is underwater for for long periods of time. Great. Appreciate
Jason Verhaest: That
Dennis Fong: color I I wanted to shift gears a little bit more onto the cost side. You've obviously made a lot of progress in operations, obviously, with rate of drilling, completion deficiency, the use of primal fracs. been a leader of. I wanted to go into kind of supply chain management. I know that's something that you guys have Obviously, with risk around tariffs and so forth. How are you maybe managing around drill pipe, obviously, completion material, a well well tubeulliers, and so forth? Can you remind us as to your supply chain management group is optimizing efficiencies and maybe trying to manage the risk around trade and so forth.
Brendan McCracken: Yeah. Great question, Dennis. And that is piece that we've been a pretty sophisticated player in for for quite a while. And I would tell you a lot of the supply chain work that we've been doing over the last couple of years to be prepared for geopolitical risk. Upsets in the supply chain. Looks to be paying off as we now encounter these tariff uncertainties. And so you know, we've mentioned before and and Greg might wanna have some comments too on you know, we've we've sort of fairly well covered on OCTG for this year. And we've also thoroughly reviewed our supply chain for for where are the other pinch points, whether it's pipe sales, and fittings or chips or or any of the pieces and parts that we utilize every day. To make sure that we don't wind up into know, a sole supplier type dynamic and and see a disruption or see a big tariff impact Greg, if you wanna add anything, feel free. Yeah. Thanks for the question. And
Greg Givens: you know, the team's done a really good job over the last several years of digging deep into our supply chains to make sure we had security of supply. That was our initial concern. So we've traced all of our, not only initial, but secondary supply chains of our of our providers all the way back to to where the products remain manufactured and to guarantee secure guarantee security of supply. And and more recent recently, that that then applies to making sure we can not only get what we need, but also get it at the right right price and avoid potential tariffs. And so for this year, we've secured predominantly all of our tubulars that we're gonna need for the year. Most of those are done domestically, but so we've locked in pricing and then locked in supply. A lot of the other smaller items, we're we're working through making sure we've got access to those at fair prices as well. So as Brendan mentioned in the previous question, any tariffs or other volatility should be relatively minor as they flow through to our overall capital costs.
Dennis Fong: Great. Really appreciate that color. Thank you. I'll turn it back.
Operator: Thanks, sis. Thank you. At this time, we have completed the question and answer session. Now I will turn the call back over to Mr. Verhaest.
Jason Verhaest: Thanks, Joanna, and thank you everyone for joining us this morning. Our call is now complete.
Operator: Ladies and gentlemen, this concludes your conference call for today. Thank you for participating, and we ask that you please disconnect your lines.